Operator: Good day and welcome to the FRMO Quarterly Conference Call. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Therese Byars. Please go ahead.
Therese Byars: Thank you, Tamary. Good afternoon, everyone. This is Therese Byars speaking, and I'm the Corporate Secretary of FRMO Corp. Thank you all for joining us today. I just have a few housekeeping things to read. The statements made on this call apply only as of today. The information on this call should not be construed to be a recommendation to purchase or sell any particular security or investment fund. The opinions referenced on this call today are not intended to be a forecast of future events or a guarantee of future results. It should not be assumed that any of the security transactions referenced today have been or will prove to be profitable or that future investment decisions will be profitable or will equal or exceed the past performance of the investment. For additional information, you may visit the FRMO Corp. website at www.frmocorp.com. Today's discussion will be led by Murray Stahl, Chairman and Chief Executive Officer; and Steven Bregman, President and Chief Financial Officer. They will review key points related to the 2020 third quarter earnings. A summary transcript of this call will be posted on the FRMO website in the coming week. A replay of this call will be available for one month beginning at 07:15 this evening. To listen to the replay, dial for domestic toll free number is 888-203-1112. The international toll number is 719-457-0820; when prompted, key-in the passcode 2844813. These dial-in numbers are noted in the FRMO press release dated April 13th, 2020, which may be found on the FRMO website by clicking the link called Information Statements and Announcements. The press release can also be viewed on the OTC Markets website by typing in the ticker symbol, FRMO, and clicking on the news link. And now, I'll turn the discussion over to Mr. Stahl.
Murray Stahl: Thank you very much, Therese. And thank you all for joining us. First let me apologize for a little bit delayed start. I am going to indirectly blame the coronavirus that not to insinuate anyway in mid of expenses call had the coronavirus to the best of my knowledge. But you see in the modern world since we engage in social distancing, we're doing this conference call from different locations and in order to do that we all have to have the same documents to refer to. So, in my case I work with pencil and paper, ink and that sort of thing. Every other human being in the planet works with email and Citrix and drives; all kinds of stuff. So, coordinate or to say that all stuff in my humble opinion it's a lot harder than pencil and paper. So, it's my recommendation that the world go back to pencil and paper but no one's listening to me so that's my apology. Now we can get to the business ahead. So, what I'm going to do with number of things, I'm going to go over the financial statement and I'm going to try to explain it because it's actually rather complex. And I'll talk about some strategic things we're doing and then we'll do the Q&A and Steve will chime in and we'll hit things through the appropriate moments. So, if you go to the income statement because that's actually the harder thing to understand in the balance sheet. And if you look at these, we have some realized gains and we have some unrealized losses and we have some dividends and even though this was done in the way that general generally accepted accounting principles mandate. My sense is that people will be much more interested in how much money did you make or lose from Bitcoin. How much money did you make or lose from TPL because those are our salient assets. So, I'll try to so looking at income statement let me explain it this way. When you see unrealized gains and losses they can come from two different things. They can come from the partnerships or they can come from the HK Hard Assets. Well over 90% that is TPL. The partnerships so for example the COSAR fund they believe that maybe slightly off but I think it's 39.4% TPL and Horizon Multi-Strategy is roughly 43% TPL. So, when you see these movements up or down, they're basically largely not entirely but largely either TPL or the Bitcoin. That means more numbers I mean seconds you could zero in but this is just go through some columns. These have nothing to do with TPL or Bitcoin. Dividends and interest income theoretically have almost nothing to do with TPL and Bitcoin except that you might be aware that TPL paid a very substantial dividend and we have this very substantial holding it to the funds in March. So, therefore in March this dividend and interest income number is going to be higher. But even then you can by looking and figure out how much TPL interest income, how much TPL dividend income we actually had. Because the HK Hard Assets is consolidate and the partnerships are not consolidated. So, what can happen is if I understand my accounting principles properly, the entirety of the dividend we booked and then some is going to be backed out to stuff that we don't know and that's going to come out in the bottom line. Equity income from partnerships and Limited Liability Company is a lot of that is actually HK. The unrealized losses or gains of if we ever if we get them those are our partnerships HK Hard Assets primarily because that's where the bulk of our money is. In the Stock Exchange we don't know many more. We still go from MIAX and that line is going to be eventually eliminated and there you have the situation now. Interestingly, obviously subsequent to February 28, there the security depreciated value and we have a very interesting situation going on here. So, what's going to happen is there will be certain unrealized losses and you'll notice if you go down further you'll notice in this particular month-end February 29, we have $1.2 million a provision for income taxes and we have almost three times that number in a nine month number and then we don't do anything, we're going to have a similar number in the fourth quarter. Now we really don't even though we like to make money, we want to minimize taxes. So, we have some interesting choices before us and I just want to explain what our choices are. We can do nothing and these estimated taxes will kind of realize taxes, that's pay taxes means we actually pay these amounts. These estimated tax become real taxes or we can do one of two things: we can sell some securities at losses because that maybe even we might have mark-to-market lost opportunities and we can pay some or maybe all of that but then again we don't really want to do that because we like the securities we have. The other thing we can do is we might be able take some mark-to-market losses in short positions. We don't really want to do that because they're almost all half dependent to ETS and we know where they're going to go which is a done. So, the choices are if we sell some securities, the cash balance will go up and if we did that we don't want you to think that we're just adding to our cash balance. If we do a thing like that and we don't know what we're going to do yet. It's being done to mitigate the tax liability. If we decide to realize a loss by buying back short positions the cash balance obviously it has to go down because we have to spend money to buy back for our business. We only give you the idea that the cash balance is primarily lower because after the required amount of days I think it's 30 for the tax law. We need to establish our positions if that's the way we go. So, we may do nothing we don't know anyway it's sort of an oddity when you get down to the fact that we're almost paying $3.3 million in taxes a lot of money to pay. In a year when we have mark-to-market losses. So, most people would say you should need some tax management, we intend to do some tax management or we should do some tax management and time guarantee, we're going to do some tax management but we'll just be aware that that may or may not come. And so far as the balance sheet is concerned, you can see it's a pretty strong balance sheet tax liabilities aside and one more interesting thing that you end up having when you have unrealized losses, in a way sometimes only the realized losses if you do nothing are actually subsidized by different tax liability. If we kept everything and we did nothing, eventually we have to pay those taxes. If we do nothing and the market value is lower at the end of the quarter, the differed tax liability actually goes down as well. So, we have that and if you're interested in calculating our shareholders equity. As we said, everything we like everything we have. And you know we have but let me give you more color on what we have. We have in the partnerships, I'm not going to read you come from the partnerships, these are basically cut the currency assets that come from the partnership. So, on a look through basis on a pro-rata we own FRMO via the partnerships 545,145 shares of GBTC, Bitcoin Investment Trust, a small number 5,684 shares of XBT which is a Bitcoin tracker, we have 91 shares of Bitcoin 91 units of Bitcoin cash. You know 91 units of Bitcoin cash SV, we own 1,493 units of the Ethereum Investment Trust. We own 4,833 units of the Bitcoin Cash Investor Trust. We own 4,333 units of the Ripple or XRP's now -- Investment Trust. We own 493 units of Litecoin Investment Trust, we own 522 units of the Investment Trust. You want the unit values of all those, you can go to the Grayscale website and you'll see unit values for the -- you shall see the current unit values. That's all, you get some how you'll see values as of today, you can press those out. And finally, we own 204 units of Bitcoin Gold. And on March 31st, this is data that's you can give it to me I'm pencil and paper by the way $4,120,000 looking at these there the prices that are being used, I think they're higher right now. Anyway, on March 31st, and its $4,120,000. Coins that we mined that we still have: we have 40 million Bitcoin; we have 342 Litecoin; we have 35 Ethereum; we have 641 Ethereum Classic; and 46 units of V cash. And direct ownership, we also own directly 7,644 shares of GBTC Bitcoin Investment Trust. So, just to review if you want to take the entirety or GBTC, it's 545,143 -- 145 shares in the funds and there are 7,644 that we had known directly; and that's actually a fair amount of money. Now with regard to HK Hard Assets, we keep increasing our position. You'll see this mid one as of the most recent quarter ended, we own 18.86% of HK Hard Assets. So, we keep contributing to that partnership. In a few minutes I will talk about the logic of that what we're doing but first let me talk about cryptocurrency. So, when you look at this balance sheet, when you look at these assets, what you'll see is you'll see in different parts various investments in cryptocurrency endeavors. If you put it all together, we can drop it into one LLC and call the business; in a way it is a business. This cryptocurrency evolves, it's unclear to us and in any event how it's going to evolve. So, is it better to be a miner of assets? Is it better to be a holder of assets? If you're going to be a miner of assets is it better to lease out someone else's hosting facility? Or is it better to have your own hosting facilities? For example, you will see in other investments we made an investment in Hash Master which is such a hosting facility. It is actually better to take your hosting facility and use your hosting facility to host only your own servers, is that that better? Is it better to just own the real-estate and some way participate in the profitability of mining? So, you'll see we’re building, so want to go first, I can think for our first real-estate asset that we have and that's on the cryptocurrency mining assets and of course there are the service vendor as well. We actually, this particular month we actually sold servers or parts of servers that we weren't actually using. Some we were using some of it we weren't using. First time we actually sold servers for scrap and so we actually were able to get some money for that. So, we'll be ordering more equipment as the month's progress. And you'll see or you should see if everything goes according to plan that the cryptocurrency business is it actually didn't grow. Why is it not growing? Here I'll talk to some strategic things. It’s basically its own way even doesn't seem like it it's related to HK Hard Assets. It's our belief and it's always been our belief for the last five years that with all the money being created in the world, we're bound to get at some point some inflation. It seems to be an obvious loss that most currencies certainly all the leading currencies are being debased. We used to say figuratively the money supply United States is growing at almost a 90 degree slope, where the graph shows 90 degree slope or almost 90 degree slope. And now, if you look at the numbers and this website and simply instead it's almost literally not figuratively a 90 degree slope. So, that's the logic of having crypto and that's logic of having hard assets. TPL is not the only asset in the HK Hard Asset fund or LLC even though it's a big part of it there are other assets. And they all have the similar characteristics. The idea is to buy things like royalty companies that basically don't have a lot of operations. Again royalty on something with a view to if that price goes up get a lot more revenue and the operational expenses don't increase proportionally. That's the basic idea of it. Well there proves to be a sensible investment or not we will see but I'll say this for TPL five years ago when we started roughly five years ago when we started HK Hard Assets the price of oil as memory serves was about $110 a barrel. And two days ago, you were able to buy oil actually they would have paid you to take oil at negative $36 a barrel. I mean we would have paid you $36 a barrel to take the oil that was scheduled for delivery. That's a pretty big collapse in oil prices; maybe could be bigger but that's pretty dramatic. At the time five years ago, TPL was roughly $100 a share and that's roughly $500 a share. So, if that's what happens when the price of oil collapses, can you imagine what might happen if we will actually went up in value. Now you get the idea of what we're trying to accomplish. Cryptocurrency, the same sort of thing. So, we're used to and throughout now we all do this, I do too and I need to remind myself to stop doing it. What am I doing, I keep saying Bitcoin goes up or Bitcoin goes down and I really shouldn't say that because Bitcoin doesn't go up or Bitcoin doesn't go down but everybody should do with their Bitcoin charts to turn them upside down. You turned them upside down we would show is the dollar in relation to Bitcoin. So, when Bitcoin goes up, what's actually happening is the dollar is going down in relation to Bitcoin. And the Euro is going down in relation to Bitcoin as well as the Swiss Franc as well Sterling as well as the Yen. So, basically what Bitcoin is, is really a long oriented way of shorting the ad currencies. Why do you want to short them? Because all together they are clearly losing purchasing power. Now ordinarily in currency trading what you do is you short currency impaired is meaning that you might sell Dollars for Yen or Yen for Euros or Euros for Sterling and so on and so forth. So, you're basically saying currency A would be better or worse from currency B. When you buy Bitcoin, you're basically saying Bitcoins going to be better, all the currencies put together. So, that's what we're trying to do. And towards an end Horizon's creating a number of partnerships than best in cryptocurrencies. And despite all the turmoil that happens in securities markets, they consistently pay dividends. And I thought my belief that one day mining of currency is going to be a much more important asset than buy bonds. Why would I say that because it's obvious that many bonds yield little or nothing. It's the idea of giving some entity in any case the government your money to hold for X number of years and you give it back to you based at a certain rate and to give you a miniscule amount of interest, that's not a reasonable investment. So, that's how we structure these things. And you get an idea what's going on. As we increase our exposure to various crypto assets, we might choose to combine all of these things into one company and make it easy for you to see it. At the moment, we don't do it not because we want obscuring thing we just don't know what's going to happen. What are some of the uncertainties? Well, we have a having coming up for Bitcoin a couple of weeks. We don't know what the hash power, the hash power refers to the computational power of network after the having event. We don't know what the price of servers are going to be, we don't know what the power of the servers are going to be. There are a lot of uncertainties. So, throw a lot of money into it, it is actually dangerous. The bill of business gradually flows off cash flow and reinvestment cash flow, I think rather risk reverse. So, it may it'll expand and avoid I think virtually collaborators, that's just going gradually. And taking our time and pinching ourselves, checking if it's the realistic way to go, even idea what's happening in the equipment market. If you were to buy new equipment today, it's probably going to use a quarter of the electric power per terahash what it would use to a two or two and a half years ago. And the price is down similarly. It's much cheaper and it's much more efficient. I would also argue it's more durable, meaning that you have less like that. Trying to just summarize. So, we're in mining; we own cryptocurrency; we invest in cryptocurrencies; we have part of our hosting business. We are part of mining equipment repair business and of course we have the real-estate. Altogether it is a business. It just doesn't look like it. In the future, we'll try to make these things considerably more naturally but I think you get the need of the sense of what's going on. To extent we have appreciation or depreciation. It's largely a Bitcoin and TPL or TPL and Bitcoin, if you like it then it'd be announced there and you should be able to see there that a lot and if you need any more detail we're happy to provide it. So, just ask what you need. So with that, I will invite Steve. If you have things to say you want to say it? You will have to about that.
Steven Bregman: Okay. Well, I gave a presentation to Horizon Kinetics investment clients yesterday. And the idea I was trying to communicate and most the "portion" is not the right word but to provide the background and the framework so people would get it. It was about the basically a global money printing juggernaut on that on a scale that's never occurred before and the reason for apparently that risk from going on from 9.5 -- well that we just help people as with the need to appear, we like this we like that we think inflation is going up and we like this company because got this pdf files, it's just opinions. It's just facts and people get them all day long. And particularly nowadays in the current environment that people are distracted and they're agitated and what is they are going to choose to remember. And I thought the most important thing I could do is to paint the process of how we're getting here. What the central banks are doing and why they're doing it, why they're compelled to keep interest rates low because of the huge amounts of debt they already have and that they're simply multiplying. To give them a sense that there's $2 trillion mean is just the first step of our stimulus package which is going to be a dwarf even with limited spending. By the special purpose and vehicle program that is all of $464 million out of the $2 trillion package but the treasury working with the Federal Reserve is going to put in 10 times that amount. Just creating more money, that could be $3 trillion or $4 trillion. And even if no more spending the time to put that in context to people with respect to the size of economies, with respect to the amount of your debt and interest rate, to take them through that process to understand. If you understand there's no longer an opinion. If you understand it, if you buy it, if you buy into it you accept that. Then you know it. And if you know it, then one wouldn't talk about what Bitcoin like to move it up from royalty structured business like TPL or Trust is then it's a royalty company might actually do under an inflationary circumstance, we owe it to and as you may know, we can take and asset heavy or operations heavy business structures. Then at least you've given something somebody something they can take with them and they have a framework for understanding this. And I dare say that if you were to look for any company any publicly traded company in the world and look for the exposures that FRMO Corp. has to -- and you can call TPL, so it's to start taking two taker, I think it's an oil company. It's really is there's no reason for to it. It's just it's a royalty pass-through vehicle. It has no operating expenses to take the order complication out of this thing. It just has no operating expenses. And it can be just hugely profitable on so many levels. And Bitcoin just comes to be accepted as an alternative currency. And again it's a like I said a week or two ago it was invented specifically for in eventualities like this. And then the other and the other from the other few deal basically in the cash, cash which is should be cash. Well, is that two possibly the most strategic inflation beneficiary assets you could think of. I don't think you could find another business that has these characteristics. It's those exposures and we think that for anybody who understood what it is, you can't get that in one package anymore. Anyway that's what I got to say. And -- trying to be analytical about it, it's actually we're going to see here.
Q - Unidentified Analyst: Okay. Let me give you some -- it advocates the, I'll give some of the question and --.
Steven Bregman: Help me out as usual.
Unidentified Analyst: Yes. I like helping you or you signed in you can take them. And if you have anything to say about anything I'd give you the opportunity. So, the first question is when I'm walking through each one had in a table reconciles the income excluding the effect of unrealized in, definitely securities some --. It is not clear which line items relate to HK Assets and TPL. So, I try the introductory remarks to actually do that. And some are not related and some are slightly related and sort of in relative, another way to do it I think will be easier. So, read all of the cryptocurrency assets. So, if you took all the partnerships and the FRMO that and the MX and the TPL that we own directly. By the way, almost all the TPL we own is indirect to the partnerships. But directly, in FRMO they be consolidate level, we only own 888 shares in TPL. However, looking through the various partnerships like HK Hard Assets or The Polestar Fund or what have you, all together it comes to 41,240 shares. If you price that out, that's actually many times the size of Bitcoin investments. So, as of February, as of the quarter end the market value of TPL relative to market value of all of the crypto, this is the actual crypto not cryptocurrency machines and everything. In round numbers, the TPL market value is roughly seven times the crypto. Well, I think that should make it clear that they're there when you see appreciation and depreciation they're both volatile. Remaining share of it is really going to be TPL although Bitcoin does provide its share volatility quite frequently. So, I think that I hope that’s the easiest way to look at it. And you can get an idea by those. Those numbers by the way we update in every quarter because they changed. For example we keep mining on coins next quarter, we have more coins and the ratios also change slightly and of course we will give you the numbers when we have. Moving to question. FRMO previously through the stock buyback program has any FRMO stock's been brought back, haven’t really company's cash been being invested since the market decline, given the climb of market, you see as this will be of any potential opportunities make a significant investment in your future. Okay. So, as of quarter-end we didn't buy back any stock. This quarter we are very likely to buy back some stock as the amount I just will tell you in the quarter successful million that we very likely can't guarantee it but we are very likely to buy back some stock. Or it's very likely to have happened during the course of the quarter I guess it's the way you're supposed to express it. Given the kind of market, do you see as do you see this event opening up any potential opportunities make us do to invest in the future? Can you say a bit about that? Theoretically but we always want to do was to buy a company in its entirety and we never did. Why do we do it? Now, two reasons. The first reason is seeing the businesses, they just were outside of our circle of competence and weren’t even then seriously consider them. Other businesses that were in our circle of competence but you couldn't buy a company in it's entirely in other words particularly pay the control premium at these little initiates. You're not going to get it for less than 25 times earnings anything and that was the problem. And you start with a 4% return on capital if you get it for 25 times earnings and you probably won't get it for 25 times earnings. So, if it's a well-run business, what are we going to add to it that's going to make it significantly better? Chances are very little and you know we're taking a risk. So, we never really did it. There are enough having said all that there are now other things that are very interesting and we are in the process of buying some new stuff. No question about that. And maybe we'll talk about at the end the quarter but as we're still buying it I guess it's premature to talk about. But at the moment let's say this, they're likely to be in the same inflation beneficiary class. Okay. I hope do you have anything to add to that, Steve, by the way? There?
Steven Bregman: No.
Unidentified Analyst: No, nothing?
Steven Bregman: Okay. Another question since FRMO, Horizon can exchange the shares. Sure to say managing some investments. Wouldn't the merger made good financial sense? It might. And it might happen. There's something called the affiliate rule, that might make it difficult to actually pull off but it might happen. We actually are it's one of the things we thought about. It might make things if it happened the right way it might make things simpler for everyone. So, we're thinking, we're constantly thinking about simplifying the financial statement because anybody who looks at it's actually very complicated. As a matter of fact, I know what's going on and when they see it done in the style of generally accepted accounting principles, it's difficult for anyone even inside to understand. Let me explain why. Because from the point-of-view of an insider, I just expressed it we're talking about TPL we're talking about Bitcoin. From the point-of-view generally accepted accounting principles, there is no Bitcoin, there is no TPL. There is HK Hard Asset; it's a fund and it's shared. There is The Polestar Fund. There is the multi-strategy fund. So, funds that need to be accounted for because those are instrumentalities that are used to build the financial statement. Those are interesting financial instrumentalities and of course they're following generally accepted accounting principle but everybody who looks at a stock is thinking about cryptocurrency. They are thinking about TPL. They are not thinking in terms of the multi-strategy fund or the Polestar Fund or HK Hard Assets. Because those are much, they're actually as funds we have an explanation, they are just inscrutable. That's one of the problems the bigger side of it. Possible that it be put to something together it might solve that problem. So, we're thinking about that. Anyway, you understand what the accounting issue is. You just have to follow the rules and the rules don't lend themselves to people like us and what we're doing is want to make it easy to understand. So, I hope that answers the question. Here's a series of questions. So, I will read them one-by-one. It's actually different parts of one question. Let's see, 1.2 gallon barrel oil creates 18.4 gallons of gasoline, the rest of the half is used to make such as other things. Can the portion used to make gasoline be used to make other things or must be thrown away I guess we just don't need it must be thrown away, learn how would it be done? Do you mention if it can be used to make other things and if we're to be a climb minute-to-minute for a period of time. Now, to begin this, really is more I think so just a big boiler and different products boil at different temperatures. So, gasoline boils at one point and kerosene other and jet fuel another and naphtha another and so on and so forth. So, everything in the barrel of oil is used to produce something. So, no one win any gasoline but want everything else. There is a portion of barrels that's going to have to be disposed off and it's really that simple and they'll be quiet disposal problem. I don't see that as really happening. If there really wasn't demand for gasoline in theory because of the oil refinery is basically a big boiler. Theoretically, you could burn the gasoline to create heat to boil everything else out. So, you could use a barrel to create the various parts. That is a scenario in a here chemistry sensitive work. So, in any event it's a very long discussion and I don’t know if I should go into it but I don't see idealistic possibility for replacing gasoline in any time in the foreseeable future. And now I'm already and saying that and it's probably not even politically correct and I am not making a political statement. It's just as far as I'm concerned a fact of nature and if anybody wants to discuss it I will be delighted to discuss it but I'm not going to go into it any more in this part. And if any wants to ask me I'm delighted to discuss it with them. Here's another part of question. TPL many times invested and its website investor presentation Page 08 has an existing relationships with 85% at the top exploration. And then companies also do midstream companies know its high margin. 16 stream of business and commodity price fluctuations. Would you clarify what this means for us, specifically there is no high margin, book fee. This is incremental price fluctuations has to sell as what this equity will actually I certainly with the qualification I am certainly not speaking for TPL. So, I'm only speaking for myself and what this means to me. Essentially, just to understand that TPL is a wealthy company in a variety of ways and where else ways is it gets easements for allowing people to cross its leg. So, in some cases no one's actually doing anything on their land but we have to do something on some other land unknown by them and towards their property. And you might have to as an example bring water to the properties. So, just for the privilege of letting someone run a water hose looks very much like a plier like a fire hose. Its cold lay flat across the property get money for that. It's like a grand lease rent. It's not commodity sensitive. It's just a number and some lease goes on for five years and it's renewable. Like my personal opinion, this is nothing other than my personal opinion. Those things have a very high propensity be removed and probably we need higher prices quite easily higher prices because of this. And their geographic area which is the Delaware Basin the west reaches the Permian Basin. In my opinion, the development activity there is just sliding. That's going to run for many decades. Again that's just my opinion. Next one. How much of royalty revenue from oil is from US$6? What percentage at those years past and suspecting looking toward? But that's something in financial statements since there I just refer the questionnaire to the TPL financial set. It's all there, anyone can look at it. With rates the rest we've had in terms of capping the barrels, they have drilled or they believed in capital, want to decide by the penalties or what exactly how does it work? So, to understand where the royalty works, the royalty is based on land that was disposed of many decades ago. So, what actually happened is somebody else owns the land. That landowner has contracted with some entity to drill a well but TPL retained is the royalty rights. So, TPL has no ability to control what the landowner does, it's just that TPL retains a role interest. Hydrocarbon is producing the property, TPL gets the appropriate royalty. So, the land owner works with the company that does drilling. That's basically how the royalty interest work. Here's a question I think I answered though, just for record. How many shares of TPL those FRMO presently and directly how many doing indirectly. I think I said it but let me just say it again. So, directly 888 shares. In total, direct and indirect 41,240 and if you want indirect obviously you subtract 888 from 41,240 and that would be the number that you would need. Let's see if we have observed that there has been a hiatus for quite a while now and now in the 13D filings of new project TPL and affiliates and so therefore no expect a recent price decline recovery why we stopped buying virtually daily. And anyway all I can do to answer that question is it you need to look at another party SEC website. There is a daily filing of a Form 4. So, the 13D because a certain SEC rules that determine what you need to put on the 13D. And the other SEC rules they determine what you put on Form 4. So, I can only say that if you go to the SEC website, you see in the Form 4 that pertain to us I think the all the questions will be answered succinctly. Here is one that I believe Murray is familiar with Lacy Hunt of Hoisington Investment Management. Lacy sees as nutshell is a burden that the subway keeps cooking the system and we'll keep books low boring and MTM and key things for modern monetary theory. I wonder if I have any thoughts. Mr. Han Steve, this I can talk with mine or Mr. Bregman. So, I'd like you to interest me but I'll just start off and say you take all the debt in America everything. Everything from federal debt, government bonds, to car loans, or student loans, the total amount is over $77 trillion. GDP is now $21 trillion. So, every time you raise rates by a percentage point and by the way that debt goes up by many billions dollars every single day. 1% of $77 trillion is $770 billion. So, 1% is nearly 4% of the GDP; 2% is nearly 8% of GDP. At the moment the GDP is actually contracted. So, it's not possible to raise interest rates and even turn away without collapsing the economy which there isn’t. So, as a consequence, if you accept that it's given I accept you need not accept it. I accept it is given, that means looking at interest rates or something there over an hour every bond is gained the base right now. That seems to me pretty ridiculous that all of the bondholders will accept that position forever. At the moment I could see why they accept it because interest rates is nothing other than go down and the price of the bond went up. So, there's no reason not to accept it including the other date. But you reach a point that where you can't lower it still further and then becomes problematic. So, I think it's a big problem. And people didn't have to find a solution to it. We proposed our own but I guess there are many ways around this problem. This is going to be a big problem. And the very problem is how do people get income in general on their bond portfolio and you propose our auspicious money cryptocurrency but maybe other people haven’t used even if you have any comments to make on this particular question?
Unidentified Analyst: No. It's really just a comment on how people always get caught late and they get hurt and then they are often misled by the popular provisions of news. And let me --. You talked about this recently and I probably have to open them. Whenever there is some change from whatever the norm is, you get newscasters maybe they are financial newscasters maybe they're just regular newscasters but they don't actually do any of the research themselves. They simply repeat or collect opinions by other people. It's all secondary. And if not over and over again that they make statements that are actually false or misleading. If you actually are aware of any, if they have expertise in any particular field, you tend to notice it when you hear it on television. It could be a police officer and a surgeon and they're talking about pretty soon at the surgery, and that's not true. Well, the same happens in investments. And the biggest the most prominent problem I see is that if you listen to financial news that means The Globe or the Bloomberg or CNNfn and what not.
Unidentified Analyst: Is that what they're talking about with respect to the economy with respect to all of these extraordinary changes which are the stuff of history books is they're talking about which the recovery quarter would be. It's going to be the third quarters, maybe fourth quarter. The GDP this year be down 2% or 5%, it's all the usual affair. And it's at least that is just amazing that they're not talking about the inflationary impact which is going to be huge and it's not even arguable if one simply collected a series of historical examples going back 100w of years or 1000s of years at every single society that's ever produced huge amounts of new money whether it's in the form of gold or paper or anything else has suffered tremendous societal upheaval and debasement of savings. And it's right there. It's an arguable business, that's not a different thing. As far as usual, the average person and then the average newscaster and they're not going to know it until it actually hits them. And it'll be totally unexpected and they know it'll be too late. It's the one of the tornado, it's so big its right in front of us. But nobody's talking about it.
Unidentified Analyst: Thanks, Steve. Next question, why won't cryptocurrency mining become a low commodity return like business? It is very good question. So, in any business generally speaking, there is usually one or two companies that get really efficient. And they have when it's for doing the triple rate of return no one can approach their efficiency and everybody who is forced to either accept a very low rate of return or just get out of business. So, why won't that happen to the cryptocurrency? Well it could. It just won't. And the reason it won't is because if cryptocurrency would dominated by one or two efficient companies no one's buying that cryptocurrency because it would be possible for somebody to manipulate. The whole idea of cryptocurrency it's not controlled by anyone. So, in order to avoid that situation, the following thing has happened that I believe will continue to happen for very long time. In the normal business, the most efficient company sets the ceiling on what return equities going to be let's say it were before search engines you could say Google sets the ceiling. Google has a cyclic return equity. Everybody else too want to be in that business, even they have to live it with slow return equity. In cryptocurrency, the least efficient company sets the floor. So, it has at least enough profitability that some not very efficient company can make an acceptable rate of return. Everybody else is going to earn a higher rate of return. So, if you try again too efficient to dominate the business and drive your competitors out, you destroyed your own business because you even destroy your own cryptocurrency. So, the thing is structured and if you read additional working papers on Bitcoin when and those created, you will see that was the intent of the creator or creators if the word is plural. We don't know who actually created. They say there's some fellow named Satoshi. But we don't know if that person existed. It might just be a pseudonym. In any event, the idea was it forces people to collaborate against their normal instincts. And the last decade it's actually worked. And you see the same thing happen in every cryptocurrency and you have over 5,000 cryptocurrencies. So, you would have thought that at in 2000 just would have happened, hasn’t happened yet in my humble opinion not going to happen. Some other questions. If inflation is your biggest concern, what do you do about the massive cash allocation that will continue to input some paywall? We have a lot of cash on the balance sheet. We don't have a cash allocation because that cash generally speaking used as collateral for shorting path dependent ETFs. So, again generally accepted accounting principles, cash is cash, has a line on the balance sheet. The number is X and there it is and the balance sheet the way you do generally accepted accounting principles is there is an asset is cash and having a certain number and they figure out what that number is. And there's another number that goes in liability side at balance sheet and that's your short exposure and you're not supposed to combine them under generally accepted accounting principles. In our mind that's what we do. So, we just use something not sitting there holding cash and letting it to erode. As a matter of fact, our various positions over the years whatever minimal interest income you got, the return which is loan, gold, tax and everything else on the crypto -- not on the crypto, on the shorts paid for a lot of our assets. So, they pay for I think most of it. So, basically we don't have a cash allocation in that sense of the word. We only have a cash allocation of X in the generally accepted accounting principle sense because that's the way you are required there's no way that an order would let you combine the one line balance sheet cash in shorts. It's just not the way it works. We have to comply with the rules obviously but we can think whatever we like and that's the way we look at it. Another good question. If the Fed will prop up the equity prices, why just go along go along liquid names and ETFs to concentrate in those names? That's the real question I get asked a lot and a lot of people will believe that. So, let me say a couple of things. First of all the Fed did not pop up the asset prices despite that everyone says. Because central banks could prop up the asset prices and make them whatever they want. The Japanese stock market will be at the 1988 levels and it's not. So, let me tell you about the most liquid names. Let me tell you first direct indirectly and then I will tell you directly. Pay attention to a telephone company known as Frontier Communications who stopped trades by $0.22 a share. Why should you pay attention to that? Because when you go in internet you do a Google search, we download a movie on Netflix, you're messing around the email whatever it is you're doing for most of the journey of that data let's say you want to know what the price of that for one was three years ago. Takes a fraction of a second to get that information. For most a journey of that piece of data, if your device be an iPad or an iPhone or maybe it's a desktop computer, it's going over the telephone network and because of net neutrality the big liquid names Microsoft, Amazon, Facebook, Google, Netflix, et cetera, they're using a tremendous amount of bandwidth. For example, on a normal day I think Netflix uses like 27% of bandwidth of the world. And they don't pay for it. The telephone company pays for it. The telephone companies are getting to the point where they can't do any more. Frontier is going to go bankrupt. I just lied that about that. Look at CenturyLink telephone, the company that CenturyLink I should say the company had merged with Level 3 another big network provider with their dividend yield and see how secure people then it is. And we don't believe that, look at AT&T the cap company yields I think 6.6% to 6.7%. In the Century environment doesn't look too secure in any event they pay at a 100% of earnings and every day some people turn off the landline. So, basically these stocks are where they are for one reason and one reason alone because of the externalization. They have the ability to take their most significant cost which is cost of the bandwidth and get someone else to pay for it because of net neutrality. And net neutrality didn't work that way, there wouldn't be even remotely as possible as they are right now. You might say so what, it'll go on forever right? Well, maybe not. So, pay attention to a small company known as Cincinnati Bell in dire straits. Approximately dire is Frontier. But I think it qualifies as being dire and Cincinnati Bell despite its name happens to own Hawaiian Telcom. Hawaiian Telecom, the landline telephone system it's uniquely expensive because after all it's a group of islands. They all have to be connected. And the Hawaiian state legislatures some months ago decreed that they could basically pass that costs of the network to various people despite net neutrality. You actually see also ruled a year and a half ago to change net neutrality. And as soon as that the Hawaiian legislature did that, two companies began bidding for Cincinnati Bell. 1) Brookfield Asset Management and the 2) Macquarie, Macquarie Infrastructure. Macquarie won. And I don't think the deal is closed yet but I think you're going to see some pilots. So, it's not tied to me, you have huge large tabulation companies, could do nothing but go up and have returns and equity that well I don't want to quote them, they're just astronomical. They would have any historical precedent whatsoever. I suppose you can say it's because of the Fed or I suppose even say it's because people are brilliant or you could say because there's some externalization going on. As anyway something unusual going on and I would recommend pay attention to that stuff. I don't think too many people will pay attention to it but I think people should pay attention to it. And if you take it to its reductio ad absurdum conclusion because people keep turning off their landlines. Eventually, no one's going to have a landline. That may take five years or may take three years and may take 10 years, I don't really know. But then I know everyday people are turning it off and there's much less subsidy and by the way it's happening in every country. It's not just America. It's happening every country in the world. So, if you look at Portugal Telecom, the Telecom Italia or British Telecom or Orange in France or you name it, Mulberry Telephone in Hungary. Now this goes, we'll see more or less the same thing going on. Somebody is going to support the bandwidth. And at the end of the day, if these companies have to support the bandwidth, the people believe the Fed can prop up equity prices forever. They are in for a great big surprise, and it's going to be very unpleasant. That's what I have to say in any event that can be wrong. That's why I don't own those companies. I don't get involved them, because I don't believe that sustainable. The next part of question is would you call Melville Giovanni, he's got a private equity he calls Melville. I love of course he have reasonably that debt will not be able to take over the equity. So, it's for any foreseeable scenario whereby three assets taken over by their lenders, at the expense of equity holders. It's just not when I go all in, I will otherwise be a Crazy Sheep co-option them. I suppose, we all know that company Civio. And to be fair to them, we are paying them a fair amount of debt and I wish they would have done it sooner, but if you look at the most recent communications from the company, they are paying them a fair net debt. And sounds very clear to me that the lenders want to take it over. And I don't know what they would do to if it works again and from then what you had to see how that works. It's to, it's unfortunate that they didn't pay down debt faster I guess the way I would express it. We'll have to see what happens. Next part is question. I even want a business substantially or if that's a vector that you think has high potential FRMO? Well, all I can say that is stay tuned for further developments and you'll see what happens. And I think that's all the questions. I have a nine sheet todays. Well, you have some questions that came after I got this sheet so maybe you could read them to me and then I'll answer them.
Unidentified Analyst: Sure. Yes, be happy to. Here's one. It says I am a Renn Fund shareholder and listen to FRMO calls as well as Horizon Kinetics calls on a regular basis. I was hoping Murray or Steven could spend a few minutes on the Renn Fund during the call today just to give a general update of what has been happening in the fund if anything. I have read its SEC filings. So, I have an idea of the funds direction, but an honorable mention would be good, if not, not a problem at all. Okay, go on.
Murray Stahl: I'd be honored to mention. So basically, as you probably know, we have our big cash balance in the Renn Fund, and we've kept the big cash balance. So, we have no idea there's a such a thing as coronavirus. We had never heard of coronavirus. And we just thought that sooner or later there's going to be a shock to the system. It could have been anything, it could have been a war, it could be an earthquake in California. It could have been anything just so happened is coronavirus. 1) So, when something if the valuations are too high, the valuation is going to contract when new risks is when the new risk phenomenon comes into the marketplace to market at the place that. 2) A plus in valuations, if it's a big systemic problem like coronavirus, is it's not a problem that any individual can really deal with on their own. Yes, they can see seek out a physician, yes they be hospitalized, but in the aggregate because there are many people, it just takes a long time, it takes a lot of resources. And usually that requires some type of government intervention. And the governments or the government I should say, around the world they don't have the money. They got to print it up. And if you print it up, it changes the value of everything. So, we really weren't we were disinclined to buy stuff. And in this most recent decline, we haven't really bought much, maybe a little bit in gold oriented royalty companies that not enough to make a difference in the cash balance as a practical matter. So, you really haven't invested anything other than been a minor amount. So, we stayed usually put with the cash. So, that's the most recent update. And as we have more updates, of course to share that with people. I hope, I answered the question. So, what's next, Therese?
Unidentified Analyst: Next question has three parts. 1) Says where on the balance sheet does the FRMO mine crypto fall. I assume cash and cash equivalents, but not sure.
Murray Stahl: Well, I could tell you the truth. Before this call, I myself asked the authors to all been note again looking up. So, even they don’t know. I had thought that it was going to be other investments. It turns that's not because other than investments is -- other investments are non-current asset and crypto is regarded as a current asset. So, and they know it isn't in other assets in current assets. So, the only place it can possibly be is on cash, it's got to be somewhere in the equity securities. And that would be logical because GBTC is clearly security. And that's part of it. And I think the rest of the crypto is there as well. That’s not. But I don't know that for a fact, I'm going to get that information shortly, I hope and we'll find out the GBTC itself which is part of our directory, definitely in the equity securities part. That's what I think is here as well. So, we'll see what happens. The mind stuff I think. I hope that answers question. What's next?
Unidentified Analyst: The next part is any further thoughts on the halving in light of the slowdown in mining equipment shipments?
Murray Stahl: Well, the slowdown in mining equipment shipments is basically that they're affected by coronavirus too and to a lesser extent it was affected even before the coronavirus, because of the tariff. There was an effort to not produce these things in China but produced in Malaysia and the whole tariff and then came to coronavirus. There's certain amount of equipment that's clearly going to be unprofitable when the halving happens in about a couple of weeks. So, all things be equal, the price or the BB hash rate is going to go down. Hard to mention, the hash rates are coming down. So, the hash rate goes down by itself that actually might lower the price of Bitcoin. On the other hand, there is a lot of equipment in that order, that's going to come to market in a very short period of time. Like, for an example, some of the main companies are issuing coupons for large orders. So, that market is opening up. So, the hash rate goes up, that'll actually help the price of Bitcoin. Not clear what's going to happen on the halving date. I can just say this, the halving the Bitcoin cash actually happened. At least, we have an idea, we know that the hash rate went down but the price stayed the same more or less, it's been up slightly. So, and this was purely conjectural but I think the same things happened with the Bitcoin hash rate this happened with the Bitcoin cash and its hash rate. And logically, you would think the same thing would happen with the price, should maybe go up slightly but I don't know that nothing other than a recent conjecture. So, don't hold me to it.
Unidentified Analyst: Then the next question is also related to Civio; you may have already answered. Could you please discuss recent developments since your recent write-up on Civio?
Murray Stahl: Well I guess, that I need going to have to repeat what I said before. It's gratifying. They paid down a lot of debt in the most recent quarter and they paid down some lesser debt but not a big amount in the prior quarter. And all I can say is, I hope it continues. It would have been a lot better had been more of that sooner. But I guess we can't go back and change the past as much as I'd like to. And I guess that's all I got to say about it.
Unidentified Analyst: The next question. What effect has the coronavirus crisis had on the Bitcoin mining business last sector, if any?
Murray Stahl: Well, you could say it had a modest effect in that, like any day. It's reduced the shipments in the production of new equipment because coronavirus is basically a disruption to the whole worldly family. So, to reduce that. Burn your hand if there's a business that's going to be not greatly affected by coronavirus, it's going to be crypto. Because it's hard to imagine the virus actually surviving in when datacenter is because it just so hot in there, I think it’s going to kill anything on the machines. Even when you have the air conditioning on, the ambient temperature can be 140 degrees. I am not sure that the virus can even survive in that environment. And you could say that almost every business is negatively affected by coronavirus and crypto might be the exception in that. That's the business that benefits some inflation. And inflation everywhere is a monetary phenomenon as we read the textbooks and just look at the money creation all over the world. So theoretically, if you really want to make money from crypto, you really believe that the flat currencies are being debased and its manipulation is a form of debasement, which it is, so being debased at the greatest rate since the end of the Second World War. So, I guess the coronavirus in that limited sense by a positive Bitcoin and every other cryptocurrency although it's a negative for everything else. It ironically, you won't say in more general terms, virtually everything in FRMO is a beneficiary of the inflation that's been created by the coronavirus. So, I'd rather not make money or human misery, better not to have less money and let the people be okay but it doesn't look like it's going to work out that way. So, coronavirus I hate to say it could be a very favorable thing for crypto.
Unidentified Analyst: Ready for the next one?
Murray Stahl: Yes.
Unidentified Analyst: This one I think you touched on before. Have you employed any of your free cash to make investments during the market meltdown three weeks ago?
Murray Stahl: It's not a lot. Now, just a little bit. The cash that we have is usually the cash flow for use for investments is the cash flow that the various businesses throw off including the shorts. So, when the shorts are throwing off cash, generally speaking, we're investing because we're doing it in measured way anyway. The whole idea is to invest overtime because there's no point at which we can predict this is the best point or the worst one. So, for example, when the client first started, you may have said they're very attractive prices. We had no idea how serious the coronavirus crisis is going to be and what's actually going to happen and how much the world's going to effect and either we're going to die, how we couldn’t be effective, how serious is going to be and will there the need to be hospitalized, so on and so forth. So, a lot of things you just can't predict. All you can say is that there's a general trend towards the printing of money. And we're going to benefit from that we have no idea that the price of oil is going to go to negative $36 a barrel; impossible to predict. So, rather than make a decision on any given date, it’s going to give me a lot of cash. We're just going to gradually -- the cash investors we like and leave it at debt. So, I hope that answers the question.
Unidentified Analyst: Last one is what in fact will the low oil prices have on the drilling activity on TPL LAM? We think the Permian Basin has some of the most attractive cost per barrel its economics in North America. But surely the devastating drop in oil price must have some impact. Is there a way to quantify this?
Murray Stahl: Yes, there's two ways to quantify it. The first way is, if we go on the Baker Hughes website, look at the Baker Hughes rig count, you can see how many rigs are committed to every region. And what you'll see is the because it's been very obviously some in fact and drilling at into the contraction rigs that the Permian Basin has the lion's share the vendor remain and we've had the smallest contraction. And the other way if you want more detail on different sectors from Texas. You can go to website of the Texas Railroad Commission. And it's done by district members, who is a legend. And if you look at the legend and where the Delaware Basin is what the legend is. And you can see actually not only how many rigs are there but you can see how much oil is being produced on a monthly basis. And you can get a very good idea of what's happening. So, between the Baker Hughes website, the website Texas Railroad Commission, I think a very good idea of exactly what's happening on a month-by-month basis.
Unidentified Analyst: That was the last question that we had.
Murray Stahl: So, to wrap it up, anything you want to add Steve to what you have comment on?
Steve Bregman: No I do. Actually wanted one to and not now, no.
Murray Stahl: So, so remain -- so, thanks everybody for the questions and the attention that we've had and kind of interesting. Power drives are starting a few minutes late. We'll try to be more prompt next time. And of course we're through this in by many days and hopefully at that time we can do this from our offices and we won't have to social distance and the coronavirus maybe will not be as much of a problem as it is today and hopefully everything would be a lot better. So, thanks everybody for the call. Thanks for the very good support and we'll talk again in about many days. Thanks so much, bye-bye.
Operator: And then that does conclude our conference call for today. Thank you all for your participation. You may now disconnect your line.